Operator: Good Day and welcome to the M/I Homes Fourth Quarter Earnings Release Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please also note, this event is being recorded. I would now like to turn the conference over to Phil Creek. Please go ahead.
Phil Creek: Thanks for joining us today. On the call is Bob Schottenstein, our CEO and President; Tom Mason, EVP; Derek Klutch, President of our Mortgage Company; Ann Marie Hunker, VP, Corporate Controller; and Kevin Hake, Senior VP. First, to address Regulation Fair Disclosure, we encourage you to ask any questions regarding issues that you consider material during this call, because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, I want to remind everyone that the cautionary language about forward-looking statements contained in today’s press release also applies to any comments made during this call, including comments related to COVID-19. Also be advised that the company undertakes no obligation to update any forward-looking statements made during this call. Also during this call, we disclosed certain non-GAAP financial measures. A presentation of the most directly comparable financial measure calculated in accordance with GAAP and a reconciliation of the differences between the non-GAAP financial measure and the GAAP measure was included in our earnings release issued earlier today that is available on our Web site. With that, I will turn the call over to Bob.
Robert Schottenstein: Thanks, Phil. Good afternoon, and thank you for joining our call. We are extremely pleased with our fourth quarter and full year results highlighted by significant growth in record setting financial achievements across the board. By every measure 2020 was an outstanding year for M/I Homes. We nearly doubled our net income, increasing our bottom line by 88% over 2019, resulting in a very strong return on equity of 22%. A number of factors contributed to our strong returns. We achieved record revenue of 3 billion, an increase of 22% over 2019. Record closings of 7709 homes, 22% better than a year ago; very strong gross margins that reached 23% in the fourth quarter and 22.2% for the full year, a 260 basis point improvement over 2019. And our full year pre-tax income percentage improved 360 basis points to 10.2%. These results continue the trend of strong growth in revenues and earnings that we've achieved, frankly since coming out of the recession. Specifically, since 2012, our revenues have grown at a compounded annual rate of 19%. And our pre-tax income has grown at an even more impressive compound annual rate of 49%. In addition, the strong performance of our mortgage and title operations, as well as improved SG&A operating leverage also contributed to our record earnings. We also had an outstanding sales year. New contracts for the year improved by 39% to a record 9427 homes sold. Fourth quarter sales continued the strong pace of sales that began in late April. During the quarter we sold 2128 homes, a fourth quarter record and 27% better than a year ago. Overall, housing demand remains very strong, driven by a number of factors, including historically low mortgage rates, low inventory levels, an increasing number of millennials joining the ranks of homeownership and a shift in buyer preference away from renting in more densely populated areas in favor of single family homes. In addition, a number of other factors also helped drive our strong sales performance. Among them are the quality of our locations, our ability to execute on many fronts, including successfully managing a rapidly increasing number of online leads, and the continued success and growth of our smart series line of homes. With respect to our smart series, let me remind you that this is our most affordably priced product offering. At the end of 2020, our smart series was being offered in all 15 of our housing markets comprised 62 of our total communities, or 31% of total and accounted for more than 35% of total company sales. Our smart series communities continued to provide a better monthly sales pace, better margins, faster cycle time and as a result, better overall returns. We fully expect the sale of our smart series homes to grow further within our markets and likely approach 40% plus of total MI sales in the coming year. And in terms of demand and traffic as we begin 2021 housing conditions continue to be very robust throughout all 15 of our markets. Our year-end backlog increased 64% in units to 4389 homes and the dollar value increased by 74% to an all time company record of $1.8 billion. Now I will provide some additional comments on our markets, which we divided into two regions. The northern region, which consists of Columbus, Cincinnati, Indianapolis, Chicago, Minneapolis and Detroit and the southern region, which consists of the balance of our markets, Charlotte, Raleigh, Orlando, Tampa, Sarasota, Houston, Dallas, Austin and San Antonio. We experienced strong performance in the fourth quarter across both the northern and southern regions, with new contracts in the southern region, increasing by 31% for the quarter and 21% in the northern region. Our closings or deliveries increased 16% over last year's fourth quarter in the southern region and increased 19% over last year's fourth quarter in the northern region. Our owned and controlled lock position in the southern region increased by 23% compared to a year ago and increased by 12% in the northern region compared to last year. While we are selling through community somewhat faster than expected, it's important to underscore that we are very well positioned to open new communities in 2021 and well into 2022. 37% of our owned and controlled lots are in the northern region with the balance 63% in the southern region. We have a very strong land position. Company wide, we own and control approximately 40,000 lots up 19% from last year, which equates to about a four to five years supply. Perhaps more important, over half of the lots that we own and control, or about 57% are controlled under option contracts and not yet on our books. This gives us significant competitive flexibility to react to changes and demand or individual market conditions. We had 112 communities in the southern region at the end of the quarter, down from 129 a year ago. And we had 90 communities in the northern region at the end of the quarter, down from 96 a year ago. As I mentioned, the decline in community count is partially a result of our accelerated sale pace. But it's also important to recognize that nearly a third of our communities are now offering our smart series homes and that these communities not only often have more lots in total, but as noted earlier, generally produce a greater sales pace. Before turning the call over to Phil, let me just make a few concluding comments. First, our financial condition is very strong, with $1.3 billion of equity at December 31 and a book value of $44 per share. We ended 2020 with a cash balance of $261 million and zero borrowings under our $500 million unsecured revolving credit facility. This resulted in a 34% debt to cap ratio down from 38% a year ago and a net debt to cap ratio of 23%. Second, 2020 was a year of unprecedented challenge and severe hardship caused by the global pandemic. As an industry, we have been very fortunate that our business and the business of our competitors have held up exceptionally well. As it relates to MI/Homes, I could not be more proud of our company as we came together to safely and carefully provide quality homes to so many. Finally, as we move forward into 2021, we are very optimistic about our business. Our backlog is strong. Our sales pace has been terrific. We have an excellent land position. And housing conditions including both demand and traffic continue to be very good. We have a lot of operating momentum and are positioned for another strong year in 2021. Phil?
Phil Creek: Thanks Bob. As far as financial results, new contracts for 2020 increased 39% to 9427 an all time record compared to 6773 for last year. Our new contracts were up 14% in October, up 36% in November and up 35% in December for a 27% improvement in the quarter compared to last year's fourth quarter. Our sales pace was 3.5 in the fourth quarter compared to 2.5 in last year's fourth quarter. And our cancellation rate for this year's fourth quarter was 10%. We are also pleased to say that our buyer demand continued to be very strong in January. As to our buyer profile about 53% of our fourth quarter sales were the first time buyers compared to 49% a year ago. In addition 43% of our fourth quarter sales were inventory homes compared to 44% in last year's fourth quarter. Our community count was 202 at the end of the year compared to 225 at the end of 2019. And the breakdown by region is 90 in the northern region and 112 in the southern region. During the quarter, we opened 18 new communities while closing 23 and for the year we opened 69 new communities and closed 92. We delivered a record 2242 homes in the fourth quarter, delivering 50% of our backlog compared to 66% a year ago. There are a couple of factors that led to this decline in backlog conversion rates when compared to last year. First, our are extremely strong sales and significantly higher backlog levels in the back half of 2020 lead to longer times for getting home started. Secondly, we had been selling spec homes nearly as fast as we can get them started, which leads to lower spec home inventories, especially those which are closer to completion and could contribute to closings within 90 days. Revenue increased 22% in the fourth quarter of this year, reaching a fourth quarter record 906 million and our average closing price for the fourth quarter was 389,000, a 3% increase when compared to last year's fourth quarter average closing price of 377,000. Our backlog average sale price is 419,000 up 6% from a year ago. And our backlog average sale price of our smart series is 322,000. We recorded 8.4 million of impairment charges in the fourth quarter, compared to 5 million in last year's fourth quarter. And our operating gross margins excluding impairments for the fourth quarter was 24.1 up 420 basis points year-over-year and up 120 basis points from 2020's third quarter. Our higher margins in our Texas operations were a big driver of our margin improvement. And for the full year of 2020, our operating gross margin was 22.5 versus last year's 19.8. Our construction costs increased by about 3% in the fourth quarter, with the biggest impact from lumber. And our fourth quarter and full year SG&A expenses were 11.7% of revenue a 40 basis points improvement compared to 2019 and 2020 is our third consecutive year of improved SG&A efficiency. Interest expense decreased 3.5 million for the quarter compared to the same period last year and decreased 11.7 million for the 12 months of this year. The decrease for the year is due to lower outstanding borrowings as well as a lower weighted average borrowing rate and interest incurred for the quarter was 10 million compared to 12.5 million a year ago. And for the year, interest incurred was 40 million versus 49 million a year ago. We are pleased with our improved returns for the year. Our pre-tax income was 10.2% versus 6.6 last year, and our return on equity was 22% versus 14% a year ago. During the fourth quarter, we generated 127 million of EBITDA compared to 75 million in last year's fourth quarter. And for the full year 2020, we generated 383 million of EBITDA up 60% over last year. Despite a significant amount of reinvestment into our business, we generated 168 million of positive cash flow from operations in 2020, compared to 66 million last year. We have 21 million in capitalized interest in our balance sheet. This is about 1% of our total assets. And our effective tax rate was 21% in this year's fourth quarter compared to 19% in last year's fourth quarter. Our annual effective rate this year was 22.6 compared to 23.2 for 2019. Our fourth quarter and annual tax rate benefited from energy tax credits from prior years. And we expect 2021's effective tax rate to be around 24%. Our earnings per diluted share for the quarter increased 88% to 271 per share from 144 per share and last year's fourth quarter, and increased 83% for the year to 823 from 448 per share last year. Now Derek Klutch will address our mortgage company results.
Derek Klutch: Thanks, Phil. Our mortgage and title operations achieved record fourth quarter results in 2020, including record pre-tax income of $14.8 million, up $8.4 million, or 131% over 2019 and record revenue of $25.6 million, which was up 62% over last year, due to a higher volume of loans closed and sold along with significantly higher pricing margins. We also set a record for the number of loans originated. For the year, pre-tax income was $50.5 million and revenue was $87 million, both all time records. The loan to value on our first mortgages for the fourth quarter was 83% in 2020, up from 2019's fourth quarter of 82%. 74% of the loans closed in the fourth quarter were conventional and 26% were FHA or VA compared to 76% and 24%, respectively, for 2019's same period. Our average mortgage amount increased to $319,000 in 2020's fourth quarter compared to $303,000 in 2019. The number of loans originated increased 25% from 1398 to an all time quarterly record of 1746 and the volume of loans sold increased by 15%. Our borrower profile remains solid, with an average down payment of over 15%. For the quarter, the average borrower credit score on mortgages originated was 745, a slight decline from 747 last quarter. Our mortgage operation captured over 85% of our business in the fourth quarter and increased from 84% one year ago. We maintained two separate mortgage warehouse facilities that provide us with funding for our mortgage originations prior to sale to investors. At December 31, we had a total of $226 million outstanding under these facilities, which expire in May and October this year. Due to our typical high volume of fourth quarter closings, we include a seasonal increase in our warehouse facilities, which provides temporary availability of $275 million through February 4, 2021 after which time, total availability returns to $215 million. Both facilities are typical 364 day mortgage warehouse lines that we extend annually. Now I'll turn the call back over to Phil.
Phil Creek: Thanks Derek. As far as the balance sheet total homebuilding inventory at 12/31/20 was 1.9 billion, an increase of 147 million over December '19 levels. During 2020, we spent 415 million on land purchases and 318 million on land development for total land spending of 733 million which was up from 600 million in 2019. In 2020, we purchased about 11,500 lots of which 77% were [raw] [ph] with about 150 average lots per community. In 2019, we purchased about 7500, lots of which 63% were raw with about 100 average lots per community. In general, most of our smart series communities are raw land deals, and have above average company pace and margin. We have a strong land position at 12/31/20, controlling almost 40,000 lots up 19% from a year ago and of the lots controlled 43% are owned. Based on 2020's record closings, this is about a five-year supply of inventory with just over two years owned. And at the end of the year, we had 225 completed inventory homes about one per community and 1131 total inventory. At 12/31/19, we had 668 completed inventory homes and 1459 total inventory homes. This completes our presentation. We will now open the call for any questions or comments.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Alan Ratner with Zelman and Associates.
Alan Ratner: Congrats on the great quarter and great year and good to hear you guys are doing well. So I guess first to start off with the gross margin that was the area at least relative to our expectations that really was blow away much, much better than expected. So we'd love to get a little bit more insight into what drove the strength of this quarter. I mean, obviously, it's a strong market, but very significant sequential step up. So anything we need to be cognizant of from a mixed perspective or timing related to cost inflation, things like that, or is this a pretty good indicator of where your margins are in backlog right now?
Robert Schottenstein: I think that there's a couple things and maybe Phil wants to add to it. One is clearly as smart series sales and then closings become a greater percentage of the mix. That will help bring margins up, because in almost each case, our smart series communities have slightly better gross margins. That's number one. Number two, we have made tremendous progress in strengthening the quality of our operation and the size of our operations in Texas. And that scale and improvement has impacted in a positive way, virtually every one of our financial metrics, including margins. The only other thing I'd say maybe Phil wants to add to it, the conditions as they exist today is there an opportunity for margins to go up? I don't know. I feel like this is a pretty good spot. And I also not withstanding the cost pressures, I think the current levels of demand should give us some ability to be able to offset most of those and keep the margins about where they are we don't give guidance on it. But we've historically said things like we think housing is or homebuilding is a 20% to 21% business. Right now it's a 22 to 23 plus percent business. And I think that's about where it is today. Phil, do you have anything to add?
Phil Creek: The only other thing is that, as far as store count, we are selling out of communities faster than we thought. We are managing our sales process very, very carefully. And as you have fewer sales opportunities, in most of our situations, there is an opportunity to raise price. So execution, we always talk about really, really matters. So hopefully we're executing at a pretty high level as we have fewer sales opportunities in certain communities.
Alan Ratner: I appreciate that. I mean, both of your perspectives there, until you kind of touched on my second question there with the community count. First off, I appreciate the insight you gave as far as the size of the communities, because I think that's something that gets lost a lot of times when we're just looking at absolute community count is that the composition of these communities can differ quite significantly. So on one hand, it sounds like you're well positioned for continued growth, just based on the lots you have on the ground, even though community counts under pressure. But Phil, you kind of touched on the idea that, you don't want that to gap out too much. So you're probably at a point where maybe in some markets, in some communities, you actually are limiting the pace of sale. So I'm curious as I look at your lot count now, is there a possibility to kind of stem the tide of these declines in community count and actually see some growth there over the course of 21? Or do you think that's a number that's going to remain under pressure for the next few quarters just based on, what's in the pipeline, delays on development and dealing with municipalities, et cetera?
Robert Schottenstein: I'm going to try to answer that question and while others can chime in, I want to underscore something about the first comment you made Alan. We're not apologizing for our community count, we have sold out a lot communities faster. And frankly, I think the whole industry is dealing with a little bit of delays and new communities coming on. Some of those delays are a direct result of staffing issues that have been impacted by COVID. And that's not an excuse, that's just the situation we're dealing with. The conditions in general, for us have been phenomenal. So you can't complain about anything. But having said all that, selling out faster, new ones coming on slower, not all community and this was your first point, not all communities are equal. With smart series, accounting for nearly a third of our communities and that will grow. And with a pace in smart series communities and the size of those communities, in some cases being 10%, 15%, 20% larger and the pace being 10%, 15%, 20% per month higher. With less communities, you can sell more houses. And you know that arithmetic just translates that way and that's what we've seen. Phil, if you want to talk about, the outlook for the balance of the year, I mentioned in my comments that, we fully expect down the road to continue growing our company, we're not satisfied remaining flat, we want to grow units, we want to grow closings. In order to do that, we will also be growing community count, this year and next exactly when they come on, within the quarters is a little bit less certain. But Phil?
Phil Creek: As I talked about, we opened 69 new stores in 2020. We closed out of more stores than we thought we would, therefore we ended up with a down community count. We do plan on opening more stores this year than last year. And as Bob said due to more of the smart series being raw land, the store account is more skewed toward the second half of next year versus the first half. It's just so hard to predict closeouts, we're trying to manage that process, as best we can from a pricing standpoint, from a construction standpoint and so forth. But our plan is definitely to continue our growth. We talked about the growth we've achieved the last 10 years. We obviously have a record high backlog right now. We feel very, very good about our land position. But community count for us will be challenged, especially in the first part of the year. But again, we plan to continue our growth.
Operator: The next question comes from Art Winston with Pilot Advisors. Please go ahead.
Art Winston: Thank you, guys for the great results. So I'm sure well the cycle is appreciated. I have two questions. Given that you sort of stopped or slowed down buying the land in the first couple months of the year, and then you end up spending 700 plus million dollars. I was wondering, if you think that you and the competitors wanted to maybe buy the same land if you were forced to pay up and the potential for the return on investment from the land you bought this year could be less profitable than purchases historically?
Robert Schottenstein: No. I don't know. First of all, thank you for the opening comment. When we delayed land, when we paused, I think we talked about this exact point with you during the last conference call last quarter. When we paused almost every one of our land transactions towards the end of March and into early April of 2020, when the pandemic really became front and center. We really didn't cancel, maybe one deal. 99% of our transactions remained in play. We bought time, but we did not, we didn't sacrifice the transactions, we didn't walk away from them, we didn't have to buy him back at a higher price. We didn't lose him to competitors. We tried to buy 30, 60, 90 days, and in some cases got that in some cases didn't and just to give us time to see what the hell was going to be happening, within -- how the pandemic was going to affect us. I don't think that'll have any impact going forward on returns. But I will say this, the land market is extremely competitive. We are all about trying to find the best locations we possibly can. We focus very heavily on A locations, it's never been our style to go out into the secondary and tertiary markets to try to buy cheap big parcels and see how that works. That's not our ammo and isn't today. We talk about the 40,000 lots that we own and control, equating roughly to four to five years supply. Less than half of it's on our books, 55% to 60% is controlled by options. Our land position is as strong as it's ever been today.
Art Winston: My second question is you alluded to Texas, maybe two or three times, if we forgot about Texas, I assume that the results for the remain as a company are still quite excellent, irrespective excluding Texas?
Robert Schottenstein: Yes. I think every one of our divisions had double-digit volume growth in 2020, which contributed to the 40% increased company wide in sales. We had an exceptional year as I sort of go around the horn in Orlando, Tampa, in Minneapolis, in Columbus in Indianapolis; certainly Dallas, Austin, those -- Charlotte, those markets stand particularly tall as I sort of scanned our 15 markets.
Art Winston: Good. Just one more thing that I didn't understand. I understand that you can get more of the smart homes on an acre and the other homes. But are you buying bigger parcels of land or just putting more homes on the same size parcels?
Robert Schottenstein: A little bit of both. It's a little bit of both. I mean, it's on average, most of our smart series communities are raw transactions as opposed to finished lot takedowns from third parties. And they tend to be on average, larger communities. My guess is, is both acreage it's certainly bigger in lots.
Operator: The next question comes from Alex Barron with Housing Research Center. Please go ahead.
Alex Barron: Yes, I wanted to focus on the sales piece this quarter. Yes, this quarter versus last quarter. So last quarter, you guys got 2949 homes, sold this quarter 2100. I understand some of that is because the community count is down but and you think you mentioned you're managing the sales pay some? I'm just trying to understand, are you guys limiting the number of lot releases per month? Or are you guys just managing it by raising prices or a little bit of both?
Robert Schottenstein: A little bit of both. I mean, it does us no good to first of all, let me let even back up a little bit. It goes against your nature to ever want to quote manage sales. No one knows what's going to happen in an hour or tomorrow. But when the demand is so great in so many of our communities, that our ability to deliver the homes [time-only] [ph] where we can protect our pricing, because we're having to build, we're having to deliver them so far out, when that becomes at risk. It's in our best interest to control the number of sales or home sites that we offer for sale in a particular community. Some of its with pushing price, but some of it's just us recognizing that we can only deliver a quality home or so many quality homes, six, seven months out in a particular community per month. And when we try to do many more than that, we run the risk of margin erosion or the inability to protect pricing.
Phil Creek: And Alex, you also get into when the communities are opening, we talked about opening 69 stores last year. We opened 12 stores in the third quarter and 18 in the fourth. So we try to make sure, we only get one chance to open, open the right way. We definitely manage how many houses, how many lots we released, initially, make sure we understand where the demand is coming from increased prices, if we can, that impacts it also. But I think one thing in the last six or so months has shown us is, there's not a lot of seasonality, demands have been very, very strong. And we try to take advantage of that without getting out too far ahead of ourselves, especially from a cost standpoint and also from a construction standpoint.
Alex Barron: Yes, understood that makes sense. Now, you guys mentioned that you want to continue to grow. So what can you do to expand your production capacity? Is it to hire more people, both field people, sales people other than open more communities, or expand somehow your labor?
Robert Schottenstein: Yes. It's frankly, the same things. I don't mean to be overly simplistic, I hope this comes out the right way. It's the same things we've been doing for the last seven years. We've more than doubled our business since coming out of the recession. And pretty much all of its been organic with a few minor acquisitions, when we've and our income has grown by even a greater percentage. So it's going to come from additional communities, growing community count, trying to continue to push more pace per community, certainly, we need more field personnel to be able to manage the construction. It's all of those things. And that's what we've been doing. And that's what we're going to continue to do.
Derek Klutch: And you adjust your staffing for those type things as far as not only having land acquisition people, but having land development people where you need them. Also having, perhaps different layers of construction. It's different from a construction standpoint, when we were doing 250 houses in Dallas versus 500 versus 750. So as we get scale in these markets, these also has helped us with subs and suppliers. The smart series is a different issue. As far as those customers in general, don't go to design centers, the product has a few less selections, for easier to get the sale process and the start process going. So it's just about again, about execution. We think we have a really good team on the field, very, very happy with our land position. We think that we're pretty much taken care of for the next two years, as far as we know what we mean pretty much have it. When you look after that, assuming things don't change, we're in good shape there to execute on that. So when you look at our, 10 years of growth and where we are today, we still think we have a lot of headroom in our existing markets. Plus, we're always looking at other opportunities also.
Robert Schottenstein: And without getting into too much detail, when I think back maybe six, seven years ago, and I think about things like online sales management. We have three times as many people working on our company today, doing that as we did then. And when I look at our marketing focus, it's completely turned upside down from what it was back then it's all about online today. I suspect most of our competitors -- I'm sorry. So it's also Phil talks about execution. It's the way we approach the business which is all about growth, but all about trying to focus on what it takes to capture that growth.
Alex Barron: Yes. I know you guys have done a good job and obviously the opportunity is there. One more question if I could, do you guys see the potential to see some operating leverage to get a lower SG&A ratio this year? Or is the growth not going to allow that?
Robert Schottenstein: I hope so. I think so. I mean, look, it's over the last three or four years, my guess is, on average, we've improved it somewhere between 30 and 60 basis points a year, something like that. I'd like to think that if we can continue to grow the top line 10% to 20%, we ought to continue to see that. I mean, we should get it. I'm looking around the room that I'm sitting in now. And even though there's hardly anybody in it, because we're trying to practice social distancing. If our business double, I don't think there'd be twice as many people in this room. So I mean, all kidding aside, yes, I think we can get more scale.
Phil Creek: I mean, it's really important to us to improve our returns. We've worked on that very hard in the last few years. And the revenue base matters. The GP matters, especially when you're the 3 billion plus revenue company, the SG&A, as Bob talked about, 10 basis points, 20 basis points, we have got leverage over the last three years, the interest line, interesting curve, basically was flat in the last couple years. So, we're trying to be more efficient in all phases of our operation. We want to continue growing. But we want to continue making more money and improving our returns. That's very important to us also.
Operator: The next question comes from Jay McCanless with Wedbush.
Jay McCanless: So the expense question was actually what I was going to ask about to, on the G&A line, it looks like in the third quarter and fourth quarter of this year, there were some pretty meaningful increases in money spent on the G&A line, could you talk about what that money is going to? And is it something that you all are going to be able to leverage as we move into '21? And also, are there any one time items in there that are worth calling out?
Phil Creek: Jay, it was a couple things. We are glad we got SG&A leverage for the year. We did have in the third quarter and the fourth quarter, especially more incentive expense, as we had better results. We had more bonuses and those type things. We also had some increased charitable contributions, which we thought, especially in these times that was very important to do. So overall, we did still get leveraged, hope to continue getting leverage in that. And we were very pleased with our 10% income and 20% plus ROE for the year.
Jay McCanless: Yes, absolutely. I just didn't know if that was, if there was a build up there to help support potential community growth, like you all talk about for the back half of '21.
Phil Creek: There's some of that, but hopefully we're going to continue having that because we definitely plan on opening more stores as we go forward. But that's just a general operating cost as we continue to grow.
Jay McCanless: And then maybe asking the community count question a bit different. I mean, this year, for the full year, it looks like the absorption was 3.9 orders per month. And if you think about the land that you've got coming on, at least it's in front of me for '21. Do you feel like the absorption pace is going to be that level or something higher or lower either because you have less specs, or you're going to get better sell through from smart series? 
Robert Schottenstein: Now if someone really knew the answer to that question. Well, look, if things stay like they are, you bet the absorbs -- the sales pace will stay where it is. I don't think it will get worse, it may even get better because we have a lot of planned new smart communities coming on. So as we begin this year, the demand and traffic that we're seeing is very strong. I think it's likely to remain that way, as long as interest rates stay a lot closer to 3% than say 4% and right now they're below 3%. And by all indications, given so many things that we are reading here, I think they're going to stay about where they are for considerable length of time. And the homeownership rate amongst the millennials, it's been well documented. That's beginning to tick up by eights, quarters and halves. And that represents an enormous, enormous potential tailwind for all kinds of housing used homes, but also new homes. And we're starting to see our fair share of that.
Jay McCanless: So a way to characterize that this is a year where we need to focus on what it makes MHS sales space looks like and judging guys on that, rather than just where the gross community or the net community count falls out. Is that -- do you think that's a fair way to look at this year, think about this year and given just the challenges that are out there from the land development side?
Robert Schottenstein: Jay, you always want to get all the metrics going the right way. And margin is important. Community count is important. Sales pace is important. There's all those things you watch every day, in a lot of different ways. I mean, we plan on opening more stores this year than we did last year, the hard thing to predict is just how many you sell out of but again, if we're selling out faster than we thought, like we did last year, we got higher price and higher margin. We're not out there with their hair on fire, buying B&C locations, just to get more stores, because we have a really strong land position and the stores are coming. But more of the stores coming are raw land that we got to develop and that takes a little more time. So it's very, very hard to give a community count prediction, it is important to us. But more important than community count in our closings and sales, so we're going to do all we can, we should expect to close more houses this year than last year, because we have a lot higher backlog. And we talked about January sales being strong and market conditions remaining very strong. But there will be pressure under community count, especially in the first half of the year or so. But we are opening more stores in the second half and we're going to do all we can to get stores opened as fast as we can the right way. And we think we're positioned to have a really good year and we'll do all we can to improve our sales pace and our sales over last year.
Jay McCanless: Yes, absolutely. And then the other question, I guess, are the municipal headwinds that you talked about in terms of getting the flats and inspections et cetera? Are those worse now than they were three months ago? Six months ago? Have they started to get better? Could you just talk about where you are in that right now?
Robert Schottenstein: I'm not really sure. I haven't heard that they're worse. But I also haven't heard that they're better. So I'm going to guess that they're probably about the same. And it's also market specific. Some places are worse than others but it's manageable. You're not going to find me complaining about anything. Look, I wish there was greater density that will allow for more affordable housing throughout our whole country. I think that's a big issue. But you're not going to hear me complaining about anything. I think these are about the best housing conditions we've ever seen, you heard Derek Klutch talk about our mortgage and title operation. Our average buyers putting 15% down has a credit score north of 740. This is nothing like when we had strong demand back in the early 2000s, when there was no credit and a lot of speculators and flippers buying this is real buyers with phenomenal credit, they want to live in a single family home. And these are great, great conditions. And if it takes a little longer for new communities to come along, then so be it. I know we're going to get our fair share of our growth. We've had, I think, we're really proud of the growth we've had over the last seven, eight years. And we expect to be able to continue that as long as the conditions will allow.
Jay McCanless: And it was definitely a phenomenal year. Thank you for taking my questions.
Operator: [Operator Instructions] The next question is a follow up from Art Winston with Pilot Advisors.
Art Winston: Bob and Phil, I realized that you're not fans of stock repurchase but I was curious if the Board ever has contemplated a cash dividend to its shareholders.
Robert Schottenstein: I didn't quite get that question. I didn't hear at about repurchase. If you look at the stock price, I mean, we're very pleased there was a significant improvement in book value last year, up to 44 bucks, very strong earnings, 20% plus in net worth. We look at business right now being very strong. We talked about all the land we bought in 2020. And we do have significant amount of cash earmarked for land purchases, also this year. So, we do watch the stock price, for sure. Glad it is…
Art Winston: And my question, no, I said, you guys are not fans of stock repurchase. But what about, has the Board ever considered a cash dividend to the shareholders paying a dividend?
Phil Creek: Years ago, we had one.
Robert Schottenstein: I was going to get to that.
Art Winston: I'm sorry, I apologize.
Robert Schottenstein: That's no problem. And we have had that years ago. And we're at the Board, we talked about different things, but I would not say that anything that's under a lot of consideration right now.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to our speakers for any closing remarks.
Robert Schottenstein: Thank you very much for joining us. Look forward to talking to you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.